Operator: Good afternoon, and welcome to the Manolete Partners Plc Investor Presentation. [Operator Instructions] Before we begin, I would like to submit the following poll. And I would now like to hand you over to CEO, Mena Halton. Good afternoon to you.
Philomena Halton: Thank you. Good afternoon. I'm Mena Halton, CEO. I was appointed as CEO in August of this year, but I'm not new to the company. I joined Manolete in 2014, and I've always been and remain very close to the operation of the business. I'm joined today by our Head of Finance with Rachel Lindley-Janes. In terms of agenda, Rachel will take you through our financial highlights for the half year. I will then go through a company overview, KPIs and some case studies. Following that, Rachel will take you through our financial results in more detail, and we will finish with current trading strategy and investment case, followed by Q&A. Over to you, Rachel.
Rachel Janes: Thank you, and thank you all for joining us today. We're just going to have a brief look at the financial highlights of this interim results presentation. So total revenue is down at 12.7%. So that is down 12% year-on-year -- year on half year on half year. Realized revenue is up GBP 14 million, which is down 7% on the same period last year. Gross profit of GBP 4 million, down 10% on the same period for the prior financial year. Gross profit margin is up at 31%, fairly stable at 30% from the last half year. Overheads has stayed generally flat, but we will go into those in more detail at GBP 3.9 million versus GBP 3.7 million. EBIT is at GBP 0.1 million profit. Same period last year was GBP 0.7 million profit, and there is some one-off effects in there, which you need to take into account, which will be considered later on as well. Net cash generated from completed cases is actually up 3% at GBP 7.8 million. Our cash balance was up 67% at GBP 1.1 million, and our net debt has decreased by 9% to GBP 10.8 million. As Mena mentioned, we'll talk about the financials in more detail later on in this presentation. But for now, back to Mena.
Philomena Halton: Thanks, Rachel. So starting with the basics. What is Manolete and what do we do? So we're the U.K.'s leading insolvency litigation financing company. We're often referred to as a litigation funder, but that actually is a misnomer as we purchase claims for the most part. And we have a unique business model, which is not offered by competitors. So we purchase claims from insolvent U.K. companies, taking assignments from the liquidator or the administrator. And those liquidators or administrators are office holders and they are insolvency practitioners and they are licensed. So purchasing the claim gives us full control over the conduct of the claim, settlement, costs and management. And insolvency is the only area of law where this is possible. Outside of insolvency, it's not possible to assign a course of action. So on assignment, we are the claimant. So we are in the driving seat. We fully control litigation. And importantly, we can draw a line if needed. And this contrasts with litigation funding where the funder is effectively a checkbook only and cannot control the litigation. So in terms of our track record, we financed over 1,700 claims. We've completed more than 1,300, and we've delivered in excess of GBP 175 million. And we have a consistently high return achieved across the 16-year trading history, as you'll see from a later slide. So we provide a solution to a problem faced by the insolvency market. Office holders routinely uncover actionable claims in insolvency, such as breach of duty against the former directors, antecedent transaction claims, overdrawn director loan accounts and claims against advisers or banks. But the insolvent estate will typically lack funds to pursue litigation. And if there are funds in the estate, the office holder may be reluctant to risk those funds on litigation. If it's a company claim, it will be immediately met with a security for cost challenge. If it's an officeholder claim, the IP is personally liable with an adverse cost. So he really is between a rock and a hard place. So we provide the solution to that problem. We purchased the claims by way of assignment. That gives the insolvent estate immediate value with an upfront payment, so that helps the IP with his WIP. We assume all risk, cost and management of litigation, and we provide the IP and the estate with an indemnity in respect of adverse costs. So we completely derisk the estate and we derisk the IP. On realization, the net award is divided between Manolete and the estate and agreed shares. And the rising volume of U.K. insolvencies continues to expand the pool of claims available to us. So the market, there are 3 types of corporate insolvency, which give rise to claims that we can take assignment of. So the first is the creditors voluntary liquidation. This is the bulk of the insolvency market. The word creditors in the title is slightly misleading because a resolution for winding up an appointment of a liquidator is actually passed by the members of the company. And in most SMEs, the members and the directors are one and the same. So actually, these are director to instigated liquidations. And these typically give rise to lower and mid-value claims such as overdrawn directors loan account, breach of duty and antecedent transactions. As you see from the graph, there is a steady rise in the number of CVLs. So that is a really good source of claim referrals for us. And then we come on to compulsory liquidations. This involves a winding up petition issued in the court and is usually presented by a creditor. And post-COVID, compulsory liquidations have increased year-on-year, as you can see from the chart. And what's particularly interesting about compulsory liquidations is that HMRC is a major petitioning creditor. And that's good for Manolete because claims arising in compulsory liquidations on HMRC petitions can frequently give rise to high-value claims against directors and connected parties in relation to areas such as tax avoidance, VAT fraud and payroll fraud. And we have particular expertise and good track record in these areas, and these claims tend to be high value. And then the third form of insolvency, which gives rise to claims within purchase is administrations. Now this is the more common insolvency path for larger U.K. companies and administrations have taken longer to return to pre-pandemic levels of activity. Primarily in administration, the focus is restructuring and rescue, perhaps a trading administration or a sale of the business is a going concern. But in addition to those aspects, there will be claims. An administrator is under a duty to investigate and realize claims just as a liquidator is. And these claims tend to be higher value. So the administrations tend to give rise to higher value breach of duty and antecedent transaction claims. And also claims against banks and claims in professional negligence, such as claims as against auditors and solicitors. And again, these tend to be high-value claims and more importantly, they are insured claims. Moving on to the next slide. We are the dominant third-party funder in the insolvency market. We are the 5-time winner of the industry's TRI award for litigation funding, and we're the only firm to be ranked band 1 for insolvency litigation funding in the Chambers guide every year from '21 to '25. I know there are a lot of awards and lots of talk about awards, but this award is very much a recognized badge of honor in the legal and insolvency world. The category for insolvency litigation funding as opposed to mainstream funding was introduced in 2021, and Manolete has been ranked band 1 every year. So no other funder has ever been ranked band 1, and we hope that, that continues. In terms of top market positioning, we have full U.K. nationwide coverage, ensuring engagement with insolvency practitioners and insolvency solicitors across the country. So sometimes claims come to us direct from the IP. Sometimes claim is referred by solicitor on the IP's behalf. So it's really important that we maintain good relationships with both the IPs and external insolvency lawyers. We have a fantastic in-house legal team, and they are the engine room of the business. They source the work, they generate the cash realizations and they grow the business. So as the legal team grows, the business grows. When I joined Manolete in 2014, there was a legal team of 1, and that was me. It is now 18 very experienced and very talented insolvency litigation experts. We maintain good relationships with these key stakeholders in the insolvency business. So that's [ R3, ] ICAEW and the IPA. And these partnerships confirm our position at the center of the insolvency profession and support our exceptional referral network. We regularly present insolvency industry events, and we also produce our own series of webinars, podcasts and presentations. We are very visible and very active in the market. So the next slide is business mix. And insolvency claims fall into 2 categories. There's the company claims so their claims that existed before they went into an insolvency process, the claims vest in the company. And then there are the office holder claims which arise on the insolvency. But importantly, both categories of claim can be assigned. So typical company claims include breach of duty and overdrawn director loan account. Office holder claims include claims such as transactions undervalue and preference. To give you an example, a director gifts GBP 100,000 to his wife 6 months prior to CVL at the time when the company is insolvent. That's a transaction at undervalue and the wife must repay. If the GBP 100,000 was repayment of the loan, that's a preference. And again, the wife must repay. And there is an overlap between claims. So in the example, there is a completing claim against the director in damages for breach of duty because he's the party who caused the company to make the payment, which was either a transaction at undervalue or a preference. There's a pie chart there showing the percentages of case types we deal with. As you'll see, we do a lot of directors' loan accounts, which I've referred to previously. Most SMEs will operate a DLA, nothing wrong with that. But of course, it's a debt and it must be repaid. In certain circumstances, the DLA may also be breach of duty. A director may be liable for the overdrawn DLA of his co-director in breach of duty and a Co-Director may also be liable under Section 213 of the Companies Act if the DLA hasn't been approved under Section 197 of the Companies Act. Then we have unlawful dividends. If the company declares a dividend without sufficient distributable reserves or without complying with Part 23 of the Companies Act, and that dividend is unlawful and it's repayable by the shareholder. Again, there's a corresponding breach of duty claim against the director because he's the party that's procured the company to pay to declare the unlawful dividend. Breach of duty, there's a lot of overlap with the other claims, but you can have stand-alone breach of duty. A good example of that would be the director who files full VAT returns that incurs the company in a large penalty imposed by HMRC. The director is then liable in damages to the extent of the penalty imposed as a result of his making the false filings. Preference transaction at undervalue already covered. Wrongful trading, this is where a director continues to trade beyond the point where he knew or ought to have known there was no reasonable prospect of the company avoiding insolvent liquidation. And in those circumstances is liable to contribute to the assets of the company. And then we have miscellaneous other. So this can be claims such as professional negligence or claims against banks. Just to give you an example of a bank claim, one we've got ongoing at the moment. The director was regularly withdrawing very large sums of cash from the bank. This quite properly raised a red flag with the bank. So the cashier asked the director to explain why he was extracting these extremely large sums of cash and taking them home in a carrier bag to which the director applied, well, it's to pay the wages, and the cashier said, okay, that's fine off you go. But having asked the correct question, the cashier then took the wrong action because this is a company that did maintain a proper payroll and the employees were paid by bank transfer from that bank account. So obviously, his answer that the cash was to pay wages was completely wrong. So that gives a rise to the claim against the bank in negligence or breach of duty. And so hopefully, that gives you some flavor of the sort of cases that we regularly deal with. Next slide is our route to market. So first of all, the company enters into the insolvency process, which can be one of the three types which we've just looked at. The IP is appointed. He then has a duty to investigate the dealings and affairs of the company and to identify assets. And of course, the claim is an asset of the company, just as the stock or the plant and machinery and the IP has a duty to realize that asset to realize that claim for value. Where there are insufficient monies in the estate to pursue the claim, the IP refers the claim to us and we take it forward. We have a very rigorous selection process, and that's based on ability to pay and merits. And actually, ability to pay is the matter we look at first because you could have the best claim in the world, but if the guy isn't good for the money, there is absolutely no point. So when we reject a claim, it tends to be for lack of assets concerns on recoverability rather than lack of legal merit. And the next slide is an overview of the funnel. So it's the life cycle of Manolete's cases. So we're getting a new case inquiry that can be from the IP or from his solicitor and that comes into the legal team. We then make an offer if we like the case and the net worth stacks up, we make an offer, it's signed. And 29% of inquiries are progressed signed cases. As I mentioned, our most frequent reason for rejection of a case is concerns on recoverability. When we do make an offer, they tend to be accepted. It's quite unusual for an offer of ours not to be accepted. Then we complete the case, and that's usually by settlement. And then the cash is collected, and when the cash comes in, we are reimbursed our upfront payment, our initial consideration to the IP, and we are reimbursed our legal costs. This takes us to the net realization, which is divided between Manolete and the estate in the agreed shares. And those agreed shares are usually 50-50. But on larger cases, there is a ratchet in favor of the estate. So as the numbers get into the higher echelons, then the estate share increases. So to try and bring all that to life, there's a couple of case studies. So the first one is a case study of the completed case. So here, the company was wound up. IPs were appointed liquidators. The liquidators carried out investigations and they identified that very significant amounts of company money have been applied towards the building and refurbishment of a property owned by the wife of the director. So that clearly gave rise to claims against the director and breach of duty, but he had been made bankrupt on the petition of HMRC, so he couldn't be pursued. So we then -- well, the liquidator then looked at claims against the director's wife, who was the owner of the property. His solicitors advanced those claims in pre-action correspondence, but the claims were denied. He was met with a brick wall and he had no funds in the estate to take the claim further. So at that point, the claim was assigned to us. We paid an initial consideration of GBP 10,000 and agreed a split of net realization. So we purchased the claim in May 2024. We settled it in January 2025 at GBP 850,000 and that GBP 850,000 cash settlement was paid to us in full in October 2025. So from that GBP 850,000, we repaid our initial consideration of GBP 10,000. We repaid our legal costs of GBP 42,905. And I think that's a good illustration of the very tight control we exercise over costs. Costs of GBP 42,000-odd and a recovery of GBP 850,000 is very good cost control. So our share of the net realization was GBP 393,837. So good cash result in a short period of time, and we took assignment of claim in May 2024, all cash received just over -- just over 1.5 years later. The next case study is an example of an ongoing case, and it's an example of a high-value case arising in a compulsory liquidation on an HMRC petition. So here, the company was wound up on petition of HMRC, IP's appointed liquidators. And they carried out an investigation and identified claims against the former directors in relation to a very large-scale VAT fraud. Now urgent action was needed to prevent dissipation of assets. An application was needed for a freezing order, which is a very expensive procedure, but there were no monies in the estate. So the liquidators referred the claim to Manolete. We took assignment for initial consideration of GBP 10,000 in an agreed split of net realization. We purchased the claims in September 2025, and we very swiftly obtained freezing orders to preserve the assets and issued proceedings. So that's a good example of a case which needed expensive but urgent action. The IP just didn't have the funds. So we step in, we provide the solution. We take assignment of the claim. We issue proceedings and we obtain a freezing order all very, very quickly. Now we come on to KPIs. So the first chart shows you our new case inquiries for this half year. As you'll see, there have been a steady rise in the number of cases referred to us. 505 cases were referred in the first half of the current financial year, and that's the highest half year number ever. The next graph shows new signed cases. Again, strong case signings. More cases have been signed in the first 6 months of the current financial year than in H1 2025. Then we come on to expected gross settlement values. Now there's been a lot of emphasis on the numbers of cases signed. And of course, that is very important, but the values of those signed cases is perhaps even more important. And I'm very pleased to say that the gross settlement values are on an upward trajectory, as you can see from the graph. Then we come on to our completed cases. The numbers of cases completed is on an upward trend. And there is a pattern that realized revenue is better in the second half of the financial year, and we expect that to be repeated in FY '26. Then we come on to net cash receipts from completed cases. And again, you can see a pattern of receipts being better in the second half of the financial year. And again, we hope that pattern to be repeated in FY '26. Then we come on to the detailed graph, which I mentioned earlier, and I hope this is particularly helpful as it tracks our performance since 2010. There's a lot of information here, and it will be put on our website. So I will leave you to look at that. But I would just like to highlight the key points, which are that 1,335 cases have been completed, generating a total aggregate value of GBP 175 million. Only one small case from 2020 remains in progress, and that demonstrates the highly efficient and effective Manolete model in the world of litigation. Litigation can obviously be very -- often be very lengthy. We get through litigation quickly. Of the 1,335 completed cases, we have recovered GBP 129 million of net retained proceeds. IRR, 130%; ROI, 111% and a consistent performance over 16 years across many hundreds of granular cases. Next slide is cartel cases. And these arise from the 2016 European Commission decision as to the involvement of various truck manufacturers in a price fixing cartel. We've purchased 22 antitrust claims from insolvent companies impacted by that 2016 decision. And the 2016 European Commission decision resulted in a cartel record-breaking fine. These antitrust claims are very different to our core insolvency business and are unlikely to be repeated. And in this litigation, liability is usually not the main issue, and the focus shifts to causation and loss, along with the truck manufacturers actively relying on the pass on defense, i.e., we may have -- you may have been overcharged, but you pass that on to your customer. In early 2023, the Competition Appeal Tribunal in the U.K. delivered a landmark judgment in the BT Royal Mail claim, establishing key principles for damages in these cases. A broad approach was adopted for the overcharge caused by the cartel at 5%, which supports our current net book value. And because this is such a specialist area, we have retained Fideres LLP who are retained -- who are specialist valuation experts, and they have provided input into the total claim value to support our net book value. As to the current position, the trial window for the second wave of truck cartel proceedings in the competition appeal tribunal is scheduled to commence in September 2026. Our claims are currently stayed pending the outcome of the second wave truck proceedings. We have settled one claim and we are in ongoing settlement negotiations with a view to hopefully settling the remaining claims. Now back to Rachel for some more detail on the financial results.
Rachel Janes: Thank you, Mena. So you've already had a brief look at our financial results in the opening slide, but this is just going to give you some more detail and some more idea of what has been happening in the 6 months of this year so far. So as mentioned, our gross total revenue was down to 12.7%. This is from GBP 14 million of realized revenue, a decrease from GBP 15 million, which is down to part of the cartel claim being settled. And we have had a lower-than-average completion -- lower-than-average realized revenue of completed cases in the year. We don't know why this is. It's just to litigation, unfortunately, just the timing of items, but it is something that we are looking into for the second half of the year. Unrealized revenue was negative GBP 1.3 million versus negative GBP 0.6 million for the same period last year. This does, however, include the conversion of the first part of the settlement with the Cartel from unrealized revenue to realized revenue. It also then has the GBP 0.8 million fair value write-off of the first settlement and the GBP 1.1 million negative impact of the fair value write-down of the remaining portfolio following the settlement with a singular manufacturer. Gross margin stayed relatively steady at 31%, same period last year at 30%. But as we expect to see larger cases complete, then hopefully, our gross margins will continue to increase as the amount of work and costs associated with large cases are often mirroring those of the smaller cases, but with a higher return. Overheads of GBP 3.9 million have increased by GBP 132,000. So this is mainly due to the increase in bad debt charge. There is another slide that I will talk through in a moment, specifically around admin and overhead costs. All our overheads have remained relatively flat with a small decrease in staff costs, offsetting minor increases in professional fees. EBIT of GBP 0.1 million compared to GBP 0.7 million for the same period last year. But if you exclude the adjustment to the first cartel settlement and subsequent revaluation of the remaining portfolio of GBP 1.9 million, which was communicated in July to the market, the adjusted EBIT would be GBP 2 million, which is a significant improvement on last year when you remove the one-off trading updates that have happened this year in terms of cartel. EBIT margin has decreased to 1% from 5%. But again, if you exclude that GBP 1.9 million of the cartel revaluation and write-off, the EBIT margin will be at 14%, which highlights the good cost control on completed cases and our steady overheads, endorsing management's year-end comments on the scalability of the business. Loss before tax was GBP 0.7 million. Same period last year was GBP 0.2 million loss. Net of finance charges of GBP 0.7 million versus GBP 0.8 million last year. We benefited slightly in interest and finance charges from the improved rate of SONIA which was negotiated with the RCF that was signed in March 2025. As mentioned, we've gone into a bit more flavor on admin expenses this year, just so people can see where the value of our flat structure really is. So as mentioned, overheads have increased by GBP 132,000 or 4% from the same half year last year. This clearly -- this table clearly highlights that staff costs have remained stable. They have decreased year-on-year, but we have seen 2 new hires in the last few months of the financial -- of the half year. We've hired a new legal head who starts in October, and we do have the incoming CEO (sic) [ CFO ] In December 2025, which then should normalize the staff costs. Bad debt has increased by 43%. As already mentioned at our trading statement for the AGM, we have seen a small number of larger debtors default recently. Although action is being taken by the legal team, there is unfortunately going to be some fallout from some of those, and therefore, the company has provided for them as needed. This is a key area of control and review by the Board and everyone within Manolete at the moment who has an ongoing kind of role within that individual debtor. Professional fees increased by 14% compared to the same period last year. This is due to an increased use of advisers due to everything that has happened in the company and on the Board in the last 6 months as well as some inflationary measures as well in there. Marketing costs have stayed fairly flat, and these are closely monitored by our [ Andrew Cockerill, ] who prepares the budget and monitors everything along these lines on a regular monthly basis. If you exclude bad debt from our admin expenses, they're actually 2% lower than last year. So you have 3,184 versus 3,256, which then, like I said, it just shows that the business structure is moving forward. And hopefully, in the future, that will help to bring in more revenue going forward. So then we go to our balance sheet. So our investment in live cases stood at GBP 40 million at the 30th of September 2025, compared to GBP 39.5 million at the same period prior. This is net of the conversion of the singular cartel, and this helps to show that the case that we have signed in these 6 months really bring future value to the business because although we have had a large settlement for the cartel, our value of our investments has not decreased year-on-year. We have trade receivables of GBP 30 million as of the 30th September 2025 compared to GBP 29.3 million at the same period prior, including a GBP 6.6 million concentration in a singular large debtor who will be paying over the next 7 years. Debtors after -- as we've already discussed and communicated, there has been some more defaults. And so this is a key monitor for the Board in the future months. Cash was held at GBP 1.1 million. Our debt drawdown on our RCF remained the same at GBP 12.5 million. It's worth noting that the long-term loans in the balance sheet for 30th September 2025 includes the capitalization of fees that will be amortized over the life of the loan in relation to obtaining the new RCF. We were hoping that some of the money from the cartel settlement would help to reduce our overall loan drawdown; however, because of the small number of debtors that have defaulted, we have used this money instead to continue investing in live cases. Just to give you a bit of an idea of our trade receivables, yes, we have had some large defaults come through. But as you can see, 58% of our trade debtors are not yet due. So this is future cash in the business that has not yet hit the terms of the settlement agreement. On top of that, 9% is due within 6 months overdue. And those that are more than 6 months overdue mainly relate to judgments. So with judgments, we try to settle with debtors in mediation, and it's a signed settlement agreement where the debtor will agree to pay a certain amount over a certain period of time. When mediation can't -- when a settlement can't be reached, we will then take it to the court and obtain judgment. So judgments are the court ordering a debtor to pay us a certain amount of money rather than them agreeing to do it. And therefore, it takes longer for us to enforce these judgments as it sometimes means that we need to take out charge in orders over assets and therefore, the rest of the chain to try and realize the actual cash in total. On the cash flow statement, we are at GBP 14.5 million of first cash receipts up from GBP 14.3 million in the same period last year. This does include the receipt from a singular cartel case. I will provide some more detail on the cartel case in a couple of slides; however, we cannot, for confidentiality reasons, disclose the number of the gross settlement. Net cash generated from completed cases was up 4% at GBP 7.9 million, and our cash flow from operating activity was 1% (sic) [ GBP 1 million ] versus GBP 1.2 million. So it shows that during the half year, the company has managed to generate enough cash to fund all its overheads, investment in new cases and investment in ongoing live cases. Sorry, just to note as well, the overheads have gone up slightly on this because we did have a one-off payment earlier in this 6-month period in relation to the RCF fees. So cartel settlement. Unfortunately, I know there was a lot that people would want to ask, but we cannot go above what has been mentioned already in our July RNS. It's under strict confidentiality agreement, and therefore, I can't share anything further than what's already in the market. But just to remind you, we said we're a single manufacturer on our cartel portfolio. It resulted in a fairly quick cash turnaround with cash being paid at the end of July and Manolete retaining approximately GBP 3.2 million of that cash, which represented full reimbursement of any costs associated with that manufacturer of the cartel and our share of the profits. So as mentioned, the settlement resulted in a noncash write-down of GBP 0.8 million as a write-off with a singular manufacturer. And then when reviewing our cartel -- remaining cartel portfolio in light of this, we then took a GBP 1.1 million further write-down on the remaining portfolio. Therefore, combined with the above-mentioned cash write-down of GBP 0.8 million, the GBP 1.1 million, the total effect on unrealized revenue is GBP 1.9 million, as you've seen how it affects our numbers when we talk through the P&L. The net asset value of the remaining unsettled cartel portfolio as of the 30th of September 2025 was GBP 10.1 million. And then thank you for listening, and I will hand you back over to Mena to talk about current trading strategy and investment case.
Philomena Halton: Thank you, Rachel. So current trading, we've had a strong start to the second half of the financial year. As of the 10th of November, we had already signed 38 new case investments. During the same period, we completed 23 cases. Therefore, the number of live cases in progress as of the 10th of November was 469. New case referrals remain buoyant at close to record levels, and we have a new CFO joining in December. So overall, the Board remains confident in the prospects for the business, expecting a return to higher average settlement values in the second half of the year and total realized revenues, excluding the cartel settlement being weighted towards the second half as it has been in previous years. In terms of strategy, no big changes here. Our focus remains firmly centered on U.K. insolvency claims. That's our area of expertise, and it's the largest and most established market for assignments. Opportunities in other jurisdictions arise, and we do consider them, but these will be exceptional rather than core. We have financed some litigation in the Channel Islands we're often offered litigation in places such as the Cayman Islands and BVI. But so far, we haven't financed anything there. Really, we like to stick to U.K. insolvency claims. That's where we have our expertise, where we control what's happening. And we are experts in the law and the practice and the procedure of that litigation. In terms of portfolio construction and capital allocation, we aim to increase the volume of high-quality new case investments while maintaining a balanced risk-adjusted portfolio. And that's across small claims, which are up to GBP 100,000, mid-market claims which are between GBP 100,000 and GBP 1 million and large claims which are GBP 1 million plus. And as I've mentioned previously, we have seen an increase in higher value claims, which is good news because whilst we can make smaller claims work, obviously, the capacity to make higher profits is better with higher value claims. So this balanced portfolio approach enables disciplined deployment of capital while preserving liquidity, diversification and market resilience. Looking at market dynamics and strategic positioning, since the withdrawal of the COVID era restrictions, which ended in April 2022, the U.K. insolvency landscape has normalized with a steady resurgence of larger -- arising particularly from administrations and compulsory liquidations in particular, where they are -- where HMRC is the petitioning creditor. So these market conditions continue to support our strategy of targeting a robust pipeline of higher value, higher impact claims, strengthening long-term returns and market leadership. So our investment case, as set out at the beginning, we are -- we remain the U.K.'s leading insolvency litigation financing company. We're the only listed funder whose model is based on buying the claims rather than simply funding them, and that is a key differential. This structure is unique to the U.K. insolvency regime enabled by the Insolvency Act 1986, as amended by the Small Business Enterprise Employment Act 2015. And it's this legislation that enables us to purchase both the company claims and the office holder claims. We have a strong expertise and nationwide reach. We have national coverage supported by a highly experienced in-house legal team drawn from partner and senior associate level across leading insolvency practices. Strong market drivers, a record number of U.K. insolvencies, rising CVLs and HMRC petition activity create sustained opportunity. We're the dominant third-party funder in the sector, and we take on only cases meeting strict quality and recovery criteria. Compelling economics, short case duration, average time to completion is 13.7 months. Highly cash generative, demonstrating consistent growth in operating cash flow, high operational leverage, profitability scales materially as average case values continue to arise, proven returns. Long-term performance includes ROI 111%, IRR 130% and a 2.1x MoM. So that concludes our presentation, but we have had some questions.
Philomena Halton: So thank you very much for your questions. So to start with, we have received a couple of questions regarding capital allocation with the main question being whether we should consider the time is right to commence a share buyback program, i.e., obviously, the share price is low. So in answer to that, our priority continues to be investment in cases where we can see very strong returns. Whilst we wouldn't rule out considering a share buyback when the time is right, that course of action is not a priority at the current time. And the Board agrees that cash is much better spent on investing in new cases and growing the company. And it's important to emphasize that capital has been reinvested in claims with higher values than last year. So we think that is the best deployment of our capital. The next question is, you have recently taken over as CEO from the company's founder, Steven Cooklin. As the new CEO, do you intend to do things differently? And what is the strategy going forward? Well, I should say I was delighted to be appointed CEO of Manolete in August of this year to build on the work of Steven. And during this first -- in the first half saw the settlement of our first cartel claim that saw a record number of completions, albeit at a lower-than-normal average value. So going forward, the strategy is to continue our focus on adding and completing more higher-value claims, realizing revenues and expanding our talent pool for the future. So we will be recruiting more lawyers into the in-house legal team. The next question is, do you plan to make any changes to the company's approach to fair value accounting and the satisfaction of IFRS 9? I think that's probably best answered by Rachel.
Rachel Janes: Yes. It's a question we get a lot. We've looked into it many times as a company. We have looked into detail in various different approaches to satisfying IFRS 9 -- IFRS 9 even, sorry, while complying with the accounting standards. And the approach is currently working well, and it's agreed with the auditors. Separately, I should point out that we do have a new CFO, Will Sawyer, he will be joining on the 15th of December. So I'm sure it will be something that he can look into on a separate note as well when he wants to come in and have a look at under the skin of how Manolete runs. Thank you, Mena.
Philomena Halton: Thank you for answering that one, Rachel. Next question, the change of CEO came almost immediately after U.S. private equity firm, Brightlight Capital acquired a 10% stake in the company, a clear signal that it sees significant value to be unlocked relative to the current share price. Are these 2 events connected in any way? Well, there was a very short answer to quite a long question. And the very short answer is that these 2 events are entirely unrelated. Then the next question asks if we can give a little more color around current trading, what we are seeing in the market and the outlook for Manolete? So the most significant factors in the first half of the financial year was the first truck cartel settlement. But that has been combined with a lower-than-average case settlement during a quiet summer. Trading in September showed a marked improvement, and I'm pleased to say this has continued in October. New case referrals remain buoyant at close to record levels, in fact. And we expect a return to higher average settlement values in the second half of the year and total realized revenues, excluding cartel, being weighted towards the second half. There's another question here. Could you explain why there was a sudden spate of low-value settlements in the first 6 months of the year? I wish I did have an answer for this, but actually, there is no specific explanation. It's simply the nature of the business that we're in. The process is not linear. As we've mentioned, most cases settle at mediation, and that requires consensus where there are opponent on the timing of that mediation. For example, I'm dealing with a large claim against the bank. This isn't the cash in the carrier bag one, this is another one. And in this case, the bank indicated earlier in the year that it would mediate yet, we'll come and talk to you. But then the bank pulled back and said it wanted to mediate at a later point. It now wants to defer the mediation until after the next directions hearing. So I'm as confident as I can be that the bank will mediate, but I can't say precisely when. Another example, a colleague has been running a large breach of duty claim and the other side did mediate. But on the day, they weren't prepared to settle at a sensible level. So we can't settle cases at any cost. So I told my colleague to withdraw from negotiations and issue the claim. So I suspect there will be a second mediation in the future. But again, I don't know when. But we have to make the right litigation decisions to maximize realizations. Then we've also been asked about the bounce back loan opportunity, which is something that has been mentioned previously. So we are continuing to pursue breach of duty claims in relation to director misuse of bounce back monies as part of our ordinary business. Nearly every case refers includes a claim relating to bounce back loans. There was widespread misuse of this scheme, as you know, a lot of directors just viewed it as free company money to spend on cars or holidays or on a house. In fact, anything apart from proper purposes of the company. We also worked on a pilot with Barclays Bank, and we achieved very good results. We're currently, again, achieving good results on a second pilot with the official receiver, but it's not on a large scale. So although we have achieved very good results and we've been given the opportunity to take on this work, so far, there has been no wider take-up on our offering on bounce back loans. So no further progress at the moment. There are some more questions here. Yes. What progress is Manolete making in increasing the share of the insolvency market that it handles? Yes, we're making a lot of progress. It's hard to measure it in exact terms, but the case numbers -- the numbers of cases referred is going up and up and up since you've seen from the charts. We do have competitors, but they haven't been able to get anything like the grip on the market that we have. And of course, they don't offer the same model that we do. What we offer is unique to us. So again, it comes back to the legal team. As the legal team grows, they bring with them their contact books and they get out in the market flying the flag from Manolete amongst those contacts and making new contacts. So that's how we grow the business and grow our market share of the insolvency market.
Rachel Janes: Are you seeing an uptick in large company administration?
Philomena Halton: Yes. Sorry, I can't see the question or just finding the question. Yes. Thank you, John, for your question, which I've now managed to read. Are you seeing an uptick in large company administrations? Yes, they are recovering slowly post-COVID, and we are seeing more large value claims and administrations are a good source of those large value claims. But this is very much a market that we are targeting and aiming to get more of moving forward. That is a real focus for the legal team. So in a nutshell, yes. And then there's a question from Richard. Thank you, Richard. Are you considering entering adjacent litigation finance segments? I'm not sure if that mean is -- question is whether we are considering venturing into areas beyond insolvency litigation. If that is the question, then the answer is no. And a nutshell, we'll stick to what we know and what we're good at. And of course, where we can buy the claims as opposed to simply funding them. If that wasn't the question, then I'm sorry, and perhaps do please follow up afterwards. And if, in fact, it's a different question, I'll give you a different answer. What else have we got?
Rachel Janes: I've got one about corporation tax, which I can cover what you have...
Philomena Halton: Yes, please, Rachel.
Rachel Janes: Thank you. So there's a question saying when we expect to restart paying corporation tax. So as most of you know, we made a loss a few years ago. And therefore, we converted that into a deferred tax asset to offset against future profits. This is now second year, third year of that. So once that's now, I think we have about [ GBP 0.2 million ] in relation to corporation tax, our deferred tax asset at the moment. So maybe this year, who knows? That's the forward-looking plan, hopeful. So yes, thank you.
Operator: Perfect. That's great. Mena, Rachel, if I may just jump back in there. Thank you for addressing those questions from investors today. And of course, the company can view all questions submitted today, and we'll publish those responses on the Investor Meet Company platform. But Mena, before I redirect investors to provide you with their feedback, which is particularly important to the company, could I please ask you for a few closing comments?
Philomena Halton: Yes. I'd just like to thank those who are listening this afternoon and those who may be listening at a later time, thank you for your interest in the company, and thank you for your questions. I hope we've answered some of them. If there are any questions outstanding that we haven't answered, then do please follow up. But thank you for your interest in the company.
Operator: Fantastic. Mena, Rachel, thank you once again for updating investors today. Could I please ask investors not to close this session as you will now be automatically redirected to provide your feedback in order that the management team can better understand your views and expectations. This will only take a few moments to complete, and I'm sure will be greatly valued by the company. On behalf of the management team of Manolete Partners Plc, we would like to thank you for attending today's presentation, and good afternoon.